Operator: Welcome to the Amyris' First Quarter 2022 Financial Results Conference Call. This call is being webcast live on the Events page of the Investors section of Amyris website at Amyris.com. As a reminder, today's call is being recorded. You may listen to a webcast replay of this call by going to the Investors Section of Amyris' website. I would now like to turn the call over to Han Kieftenbeld, Chief Financial Officer of Amyris. Please go ahead.
Han Kieftenbeld: Good morning, everyone and thank you for joining us today. With me on today's call is John Melo, President and Chief Executive Officer. We issued our results today in a press release. The current report on Form 8-K furnished with respect to our press release is available on our website amyris.com in the Investor Section, as well as on the SEC’s website. The slides accompanying this presentation can also be found on the website, and were posted today for your convenience. Please note that on this call, you will hear discussions of non-GAAP financial measures, including but not limited to, underlying sales revenue, gross margin, cash operating expense and adjusted EBITA. Reconciliations of these non-GAAP measures to the most directly comparable GAAP financial measures are contained in the financial summary section slides of the presentation or the press release distributed today. During this call, we will make Forward-Looking Statements about future events and circumstances including Amyris' outlook for 2022 and beyond, Amyris' goals and strategic priorities, anticipated transactions and other future milestones, as well as market opportunities and growth prospects. These statements are based on management's current expectations, and actual results and future events may differ materially due to risks and uncertainties. Including those detailed from time-to-time in our filings with the Securities and Exchange Commission, including our 10-Q for the first quarter of 2022. Amyris disclaims any obligation to update information contained in these forward-looking statements, weather as a result of new information, future events, or otherwise. With that, I will turn the call over to John. John.
John Melo: Thank you, Han and good morning, everyone. Thank you for joining us today. I will provide an update on our business performance and our operating strategy before asking Han to provide a financial update and then we will turn to Q&A. On Slide 4 now, we are fully focused on eliminating the need to use crude oil, destroy forests or kill animals to make chemistry. We are reducing the stress of harmful agricultural practices preventing further destruction of animal supply chains and ecosystems around our planet. We are delivering this transformation of the way chemistry is made across many markets. From the elimination of crude oil as the source of making Vitamin E to killing sharks as a source for making Squalane, to harvesting from forests in Madagascar to make vanillin, to using expensive irrigation and farmland to produce natural sweeteners. As a few examples of the deep disruption we are delivering across the world. Our growth is accelerating significantly, as crude oil prices soar and consumers are demanding clean, sustainable chemistry in the products they consume every day. The network effect caused by adoption of our industrial ingredients and consumer brands powered by Amyris' pioneering technology is expanding and helping all of us be agents for positive change, and a more sustainable future. We are in a fight for the future of our planet. And we are leading this important fight in beauty, health and wellness markets to the power of our no compromise ingredients and consumer brands. We are already making an impact with as many as 300 million consumers around the world that use our ingredients and products and we have much more to do. We delivered a solid first quarter. Our core revenue increased 75% year-over-year, supported by a record $35 million of revenue from our consumer brands, delivering 121% growth versus the prior year quarter. I'm currently on Slide 5 for those of you following along. Brands launched in the past 12-months, led by JVN Haircare already compromised an important portion of our consumer revenue. We have entered a period of exponential growth for our consumer brands that is further accelerating as we add new brands, expand with new retail partners, and grow globally. 90% of our current consumer revenue is from North America. 57% of our consumer revenue is from direct-to-consumer our own websites. Our new brands, brands that will operate this year for the first time, including MenoLabs, JVN Hair, Rose Inc. and EcoFab cosmetics, are expected to generate over $100 million of revenue. We are also in the middle of international expansion, with a focus on the UK, Portugal and later this year, an expansion across Brazil and a major market entry into Germany. In addition to the incredible performance of new brands, significant expansion through retail partners and significant opportunities in international markets, we have also landed a significant strategic opportunity, where we are developing an across category brand of sustainable beauty and wellness products for Walmart. This brand is expected to ship to Walmart's in the fourth quarter, and is another validation of the commitment of the world's leading retailers to deliver sustainable, best performing products to consumers. This is what consumers want and this is what we deliver in our brands and through our technology. Consumer revenue in the first quarter was over two times our ingredient revenue. And we expect by the fourth quarter for our consumer revenue to be around five times ingredient revenue. Our consumer portfolio is now set to deliver well over 150% growth this year, while our ingredient portfolio is also delivering better than expected growth that we will be in a position to recognize starting this quarter as we start shipping products from Barra Bonita. We now expect ingredient revenue to be on the high end of the 30% to 40% annual growth rate we have guided to at the start of the year. In addition to the significant growth we are experiencing, we are also focused on reducing our spend and focusing our investment where it generates strong returns. We have four brands that are expected to turn a positive operating or profit contribution this year Biossance, JVN Hair, MenoLabs and our new Clean Hair brand built for Walmart. We also expect ingredients that we start producing at Barra Bonita to deliver a positive profit contribution once they are produced at that site. Technology access revenue grew 33% year-over-year to $23 million in the quarter. We experienced stronger demand for our consumer and ingredients products. An estimated $7 million more than we have capacity to deliver, this represents orders received that we did not have product available to fully fill the order. We shipped all inventory, all products produced and available for the ingredients business during the quarter. This was a bigger challenge in ingredients due to reliance on third-party manufacturing. We began commissioning our strategic fermentation plant in Barra Bonita early in the second quarter, keeping us on track to start commercial production during the second quarter. This investment is critical to meet demand, reduce our resilience on costly third-party ingredients manufacturing and the delivery of substantial margin improvements starting later this year. Both fermentation and consumer product manufacturing will be debottlenecked in the second half as Barra Bonita comes into full production, and we scale production at our consumer manufacturing facilities. In addition to the facility we are constructing in Reno, we recently acquired a brand new consumer production facility in Brazil. All three of our new manufacturing facilities are expected to be at full commercial production by the end of this year. We have already started producing consumer products at the Brazilian facility and the Reno consumer manufacturing facility. We are continuing to experience strong demand through the start of the second quarter and we are also expanding our mix of sales from direct-to-consumer. We are shipping Pipettes to almost 10,000 new selling points this quarter and we are experiencing significant consumer traffic through most of our retail partner stores. The consumer is coming back very strong in Brazil, the U.S. through Sephora stores, European markets and the UK. We are now at three million monthly visitors in our direct-to-consumer business. And we expect to be at about six million monthly visitors by the time we reach the fourth quarter. We have built the fastest growing consumer health, beauty and wellness brands in the world. And we expect this business to also deliver strong cash generation as we transition to the second half of the year. We have acquired and built the capability we need. We have the leading technology product and consumer brand portfolio in our industry and we have a business model that has the potential to consistently deliver 30% or better operating margins at scale. We are within 12 to 18-months of reaching a scale of revenue where we can consistently deliver our expected margin structure. We have what we need and have transitioned from building to executing. We are done with our acquisition phase. The JVN Haircare brand is performing much better than we expected. JVN is our most successful brands to-date, and is on target to reach profitability in 14-months or less since the start of commercial sales. JVN is also one of the lowest investment brands in our portfolio. Our investment in developing and launching JVN is about $2.7 million. This is a brand that we estimate a current valuation of around $400 million based on the annualized revenue run rate, it is marketing channel structure and it is gross margin. We really appreciate our partnership with Jonathan and all the hard work key and the JVN team are delivering to make this brand the leader in Clean Haircare. We are very fortunate to have achieved a first in the prestige beauty market. We have the fastest growing brands in skincare, hair care, color cosmetics and baby care at the same time. This is unprecedented for a single company and demonstrates our deep commitment to science space technology and formulations and the power of clean and sustainable chemistry. Biossance continues to deliver strong year-on-year growth and is the fastest growing skincare brand at its scale in North America. Our biotech brand is also growing very quickly and in the middle of shipping to about 10,000 new stores. This includes over 4,000 Walmart stores in North America. We have built incredible brands that are enabling consumers to use the best performing technology on themselves for their health, while making our planet healthier. Biossance and JVN alone have a current estimated asset value of around $1.5 billion based on their current revenue run rates, channel and margin structure. This is more than our current equity value, and demonstrates the significant disconnect in current equity markets. We are well positioned to benefit from this disconnect and we will take the appropriate steps to self fund our growth and continue leading in our core categories. I'm now on Slide 6. A capital markets have recently not been kind to high growth technology driven sectors. This year-to-date, we have outperformed our immediate biotechnology peer group and traded in closer correlation to the beauty and wellness index. The steps we have taken to match our capital structure with the incredible growth powered by unique technology, IP and practical innovation appear to be recognized by the market more so where the consumer end markets we target as opposed to the biotechnology companies who are working on similar technologies as us, but with limited tangible product commercialization. Underpinning all that we do is the tireless efforts of countless technical, industrial and commercial professionals and Amyris who have built an end to end platform that is scalable and will continue to foster new product development, growth and ultimately profitability. As we have grown and expanded, we have also taken steps to reduce our reliance on costly third-parties and vertically integrate critical components of our supply chain. As our next generation precision fermentation, manufacturing plant in Barra Bonita comes online, and our consumer fulfillment and distribution centers are scaled and optimized, we have substantial opportunity to reduce costs, improve margins and reduce cash needed to run our business. Combined with our new manufacturing and supply chain footprint, we are taking important actions to reduce our operating costs and unlock cash from our asset base. As we stated at the start of the year, we expected heavy heavier investment in the first half of the year with a reduced cash burn in the second half. This is what we continue to expect including positive cash from operations in the fourth quarter, when you exclude CapEx and investment in new brands. We plan to further optimize our portfolio and are in active discussions for the licensing of marketing rights of two ingredients, which we expect to deliver over $250 million of proceeds by the end of this year. Evidencing the quality and depth of our technology driven acid base. This is a transaction that will look similar to the DSM transaction from last year with limited impact to revenue as we will continue to be the manufacturer of these ingredients long-term. Slide 7, our platform is scalable with exceptional breath. We are the number one builder of clean beauty brands in the world today. Educating and connecting consumers with exceptional products with a purpose at reasonable prices. This isn't just our brands. Approximately 3,500 brands around the world are using our proprietary ingredients. Underpinning all of these opportunities is our core belief that okay is not good enough. But we can't continue to harvest our planet, environment and atmosphere relentlessly with no consequence. We share the desire of our partners and customers to prioritize decarburization, and believe we are uniquely positioned to power and accelerate their efforts. Slide 8. The most important scorecard for Clean Beauty and the performance of our products is the consumer and as it turns out, we are doing really well there as well. Our fastest growing brands Biossance, JVN and Rose Inc. are well recognized as category leaders and routinely receive exceptional feedback from consumers. Slide 9. Capitalizing on this success and recognition, we continue to invest in the future. In Q3 of this year, we plan to launch a new menopause focused wellness brand named Stripes, in partnership with the gifted Naomi Watts. Around the same time, we expect to launch EcoFabulous, a unique offering that will give Gen Z consumers access to clean, sustainable beauty products at a great price point. What is different this time is the established relationships and opportunities for distribution we have on day one with these brands. Channel partners, such as a [Fore] (Ph) and Walmart can accelerate the timeline from first sale to meaningful impact of these brands for Amyris as well as the access to most consumers possible at the lowest cost. We are also working hard on many fronts as it relates to operational excellence. We are in full commissioning mode at the Barra Bonita plant which will be critical to much needed capacity and improved unit costs. The commissioning process is going very well and we expect to start shipping products from Barra Bonita this quarter as planned. Slide 10. During the quarter we acquired a founder led brand named MenoLabs that is delivering real solutions for women in menopause and perimenopause. Not only offering products to consumers seeking relief during the stage of their life, MenoLabs offers education and a sense of community through their online and app based resources. With the benefit of Amyris' proven capabilities to develop brands, enhanced formulation and expand distribution, the opportunity for MenoLabs to sharply grow revenue and serve more consumers in this underserved category is meaningful. This is one of the fastest growing categories in health and wellness. We expect to deliver over $30 million in the menopause category during 2022. We did not participate in this category in 2021. Over the past 12-months, we have been focused on incubating acquiring and investing in our consumer portfolio, which has paved the way for our current rate of consumer growth. We have built a leading portfolio of consumer brands in the categories we serve, and do not plan on further acquisitions in the near-term. We are now transitioning our focus to execution, efficiency and portfolio management and building leading brands that are homegrown. JVN is a great example of value creation with our brand building model to commercialize our core technology. Operationally, we have learned through blood, sweat and tears that in order to control your destiny, with this technology, you must excel at manufacturing and process development. These are the biggest barriers to scaling synthetic biology and making a tangible, positive impact on the sustainability of our planet. Recently, we began commissioning of our fermentation plant and Barra Bonita at Brazil, the leading precision fermentation facility in the world for industrial markets. This plant will deliver much lower cost production and improve margins while greatly increasing our manufacturing capacity. We have posted a six minute video providing an overview of the plant and its construction on our Amyris YouTube video. I urge anyone curious about our progress to view it. Let me now turn to Han for remarks covering our financial results. Han.
Han Kieftenbeld: Thanks, John. Let's turn to Slide 12. Consistent with our expectations, our core revenue increased 75% year-over-year, largely due to record consumer revenue of $34.6 million. Our consumer brands have built substantial momentum and further established category leadership each and every day. Our investments in integration of our supply chain couldn't have been made better I would be made at a better point in time given the current industrial and macroeconomic backdrop. Given the volatility we are witnessing globally, it is extremely important to have control of the distribution of our technology and IP. As our consumer fulfillment centers and fermentation plant expand their production, we will have control of our products from lab to market to a degree that we haven't had in the past. Please turn to Slide 13. Core revenue, which includes consumer and technology access revenue, and excludes strategic transactions and other one of items increased 75% to $57.7 million, when compared to the first quarter of 2021. Core revenue included record consumer revenue of $34.6 million, which increased 121% and technology access revenue of $23.2 million, which increased 33% versus prior year. Our consumer revenue growth is balanced between our more established Biossance and prepaid brands, and our very well received new launches of JVN and Rose Inc. The momentum we are experiencing is not an accident. We are providing exceptional formulation to consumers who are seeking education and believe they have a responsibility to choose environmentally sustainable products that don't compromise on performance. 57% of first quarter consumer revenue originated from direct-to-consumer. It is from e–commerce and our brand platforms, while 43% originated from retail consisting of in store and online sales. This channel makes was very similar to the prior year. Approximately 90% of consumer revenue originated from North America. We are expanding internationally and see significant opportunity as we build out our footprint in continental Europe, the UK and Brazil. Technology access sales growth of 33% was due to growth in demand for flavors and fragrances and sweetener ingredients and the $8.8 million earn-out related to the strategic DSM F&F transaction which we completed in the first quarter of 2021. This was partly offset by third-party contract manufacturing capacity constraints for the production of squealing and heavy squealing. Ingredients demand growth is driven by a shift to sustainably sourced ingredients away from crude oil supply sources. Current third-party capacity constraints are expected to be alleviated by our strategic investment in the large scale fermentation plant in Barra Bonita, which we began commissioning as John said, this current quarter. Let's move to Slide 14. Our first quarter non-GAAP core gross margin was $26.8 million or 46% of revenue. This is an increase of 58% compared to the first quarter of 2021 margin dollars primarily resulting from the growth of our consumer brands. Consumer gross margin was 60% which compares to 70% in the prior year quarter due to new brand and channel mix. We expect a margin improvement in the second half to approximately 65% of revenue as a result of production footprint simplification. Technology access recorded 27% gross margin of revenue versus 34% in the prior year. Ingredient product margins were impacted by the aforementioned capacity constraints contract and contract manufacturing, particularly affecting Squalane and heavy Squalane. We expect margin improvement in the second half to 35% to 40% from Barra Bonita coming online. As our brands grow, so too has the sunny expense associated investments in both our legacy and newly launched brands. I will make a few more comments regarding expense on the next slide. Q1 2021 adjusted EBITDA included $143.8 million in one-off strategic transaction revenue. When we exclude these one offs, adjusted EBITDA of $107.5 million of this quarter was down $66.2 million, primarily due to higher operating expense and Q1 air shipping cost. We have continued to invest in high return opportunities, which is reflected in our adjusted EBITDA. We are committed to the growth of our business and during the first quarter the costs associated with ensuring our products arrive on time with new and existing third-party relationships remained elevated. We expect to see improved cost leverage in the second half on the back of increased revenue. Please turn to Slide 15. We are operating 10 brands today compared to three brands a year-ago, our cash operating expense of $117.1 million increased by 63.5 million, increase is primarily driven by a combination of increased headcount, both organic and from acquisitions for a total cost increase in people expense of $22 million. Non people expense increased $41 million and include a brand investment in paid media and advertising, growth driven consumer order fulfillment and shipping expense and the pre commissioning activity at Barra Bonita and lastly, comparatively low prior your travel expense due to COVID-19. Other costs of goods sold were mostly driven by increased air freight to the tune of $11 million. This was for inbound freight to get our components, packaging and intermediate products in the right place at the right time to ensure continued supply to our customers. As a result of our elevated expense, our use of cash in the quarter was also elevated, we use the total of $195 million of which $107 million is related to adjusted EBITDA. Additionally, we build working capital for a total of 29 million. We also incurred CapEx predominantly for Barra Bonita and one-time M&A expense for a total of 47 million, as well as temporary airfreight expense of 17 million for a combined total of $64 million that we do not consider to be part of ongoing cash outlay. Let's move to Slide 16. Our brands addressed the needs of millions of consumers while reducing reliance on unsustainable and environmentally harmful ingredients. Spending on clean health and wellness, skincare hair and baby care is not discretionary for consumers who are unwilling to compromise in these categories. Based on current consumer revenue performance along with the Q3 launch of new brands and new in-house ingredients capacity from Barra Bonita taking full effect in the second half of the year, we are reiterating our full-year 2022 financial outlook and expect to be on the higher end of the status rates. Thank you all for listening today. John has concluding remarks before we open the line for questions. John.
John Melo: Thank you, Han. We have been investing substantially in the future of our core business through capital expenditures and plant and production capacity, as well as operationally through brands, startups and leveraging the opportunity to educate and acquire consumers through sales and marketing growth. The goal of these investments is to create a durable, sustainable platform that will disrupt existing chemistry and deliver better performance and sustainable options for consumers. We are laser focused on our operating environment and we will continue to execute on our plan. But we will revise our spending and operational plans to meet external business and our economic environment change. The human rights crisis created by the conflict in Ukraine, the knock on effects of China's zero COVID policies, rapid inflation are all very real, and we will manage the opportunities in front of us accordingly. Danielle, please open the line for Q&A.
Operator: We will now begin the question-and-answer session. [Operator Instructions] The first question comes from Colin Rusch from Oppenheimer. Please go ahead.
Colin Rusch: Thanks so much guys. With the combined capacity that you now have, can you give us a sense of what the feeling is in terms of revenue capacity for the organization now and obviously, there is a mix impacts that, but we would love to just get a sense of where you guys are capitalized at this point?
John Melo: Thanks Colin, it is great to have you on the call. Look, I think as it relates to consumer, I think our resilient capacity is about 35 million units a year, and our renal capacity of about 65 million units a year. When you think about all that and you think about what we expect to produce out of those assets, into the fourth quarter, we would expect about 70% to 80% of our consumer demands to be met by our own manufacturing capacity. And we have very good capacity to really run a consumer business that can generate 400 million to 500 million a year of revenue. And, again, if you look at how our year ramps, I mean, we expect the fourth quarter to be well over 100 million in consumer revenue and we expect that our production assets for the products that it makes sense, because there are some products, some unique products that we are not investing the capital equipment to produce ourselves. They are unique enough that we will do them by third-party. But I hope that gives you a sense of what we have capacity on the consumer side. And on the ingredient side once Barra Bonita start, we expect Barra Bonita to be a key enabler to meet our ingredient demand. As we mentioned, ingredients were a challenge for to grow out of capacity. We just don't have the ability to access more precision fermentation to make the ingredients. We think we can more than double the current revenue of ingredients per quarter and we expect to start realizing that level of ingredient performance in the fourth quarter as a result of Barra Bonita. So you can think about it as a couple of hundred million a year of ingredient revenue enabled by Barra Bonita and somewhere around 400 million to 500 million a year of consumer revenue enabled by the 70% to 80% cover we get out of Reno and the Brazilian facility. Hope that helps Colin.
Colin Rusch: Yes. That is super helpful. And then, just in terms of the cash operating expense, some of the - the slightly more elevated level here that we are talking about an ongoing basis. I just curious about how much of that is, you guys deem as temporal, how much of that is going to come out overtime as the global supply chain gets a little bit more balanced and normalized?
John Melo: Yes. I think Han now tried to cover that, I will try to summarize and he will come back, and I'm sure correct me. There is about 60 million to 70 million of what you saw in the first quarter that we don't expect to repeat. And then in that, there is about 30 million, 20 million to 30 million, I think it is actually around 20, 17 million to 20 million, that is actually connected specifically to global supply chain and just complexities that we have had to manage, and are very costly, and ensuring we have components where they need to be. I want to clarify that not all of those components have anything to do with first quarter shipments. And a lot of that is really building inventory, especially as we go into the second half. Remember, the fourth quarter is a seasonably high quarter and we have a significant number of new brands coming on that are really running hard on the growth side. So a combination of our current new brands to market like JVN, Rose Inc., MenoLabs and then the new brands we are launching, plus the fourth quarter seasonality really drive for significant build in inventory to ensure that we could meet market demand. Again, knowing that we expect to deliver well over 100 million in consumer revenue in the fourth quarter. So that is -. Han I don’t know if you want to add any clarification to that.
Han Kieftenbeld: No, I think that is right, John.
Colin Rusch: Great. Thanks a lot guys.
Operator: Your next question comes from Steven Mah from Cowen. Please go ahead.
Steven Mah: Great. Thanks operator and thanks for taking the questions. On the two ingredients, you are in licensing discussions with that you mentioned. Are these existing molecules you have developed at Amyris, but haven't disclosed, you know is there any color you can give us?
John Melo: For competitive reasons we would rather not disclose much, but I will tell you they are existing molecules and they are in current production.
Steven Mah: Okay, got it. Alright, that is helpful. Then a couple questions on the retail channel. I wanted to ask you what you guys are seeing - are you seeing any trends in retail. Hon, you mentioned, you know, the channel mix in Q1 was similar to the prior year, but what do you expect the channel mix for the balance of the year to be and could you update us on the experiential and pop up stores that you mentioned on a prior call and what impact you are seeing from those new source?
John Melo: Sure. So you and let me try to take those, it was like two questions embedded in there. So let's do the first one. I'm just at a CEO conference right now for the beauty industry and I was just with Sephora’s Global CEO last night. And I can tell you that what we are seeing across the beauty retail footprint is significant retail traffic more than any of us expected. So first point is there is a very robust consumer right now buying beauty. It doesn't - I mean, it surprises that it has happened this fast coming out at COVID. But when you look at history, especially in times of uncertainty, or in times of war, what we have seen is that the beauty market actually thrives. Because it is sort of the simple luxury everybody goes to and again, we are seeing exactly that right now happen across the retail footprint. I can tell you, we are seeing the same thing in Brazil, we are seeing the same thing in the UK. So again, a very robust consumer and retail. I think the second point is regarding our mix. Look, we are well above the 50/50 mix that we would ideally like to operate at. And I can tell you that we expect to come back around the 50/50 mix, because of the significant increase in retail doors that we are adding in the second half. I mean, as I said, during the call, we are adding just almost 10,000 doors between Walgreens and Walmart, for the Pipette brand alone. We have several other brands, we have Purecane going into Walmart, as we speak, this quarter. We have Biossance going into 140 doors across Germany with Douglas, the leading retailer of beauty in Germany. We have a significant expansion that took place in the first quarter with JVN and in Rose Inc., adding about 250 or so Sephora doors in North America. So because of the significant expansion in doors, I would expect to come more in that 50/50 balance as we go to the second half of the year, which doesn't mean less direct-to-consumer growth. It just means a much stronger store growth as we are going through the second quarter, and then the rest of the year. Look, I think your question on pop-ups the third question. The most successful pop-up we have done, which has really taught us a lot was the Rose Inc. pop-up in Soho, a few weeks back. We had a line out the door, we had significant demand for customers wanting to have their makeup done in our store and we see that as a trend. So we see that the whole movement to experiential retailing. We see that customers getting treatments both on their skin, getting their hair done with our products, as well as their color makeovers in our store is a significant engagement opportunity. We see conversion in those stores very high, I can tell you in the Rose Inc. pop-up conversion was over 90%. So 90% of consumers who came in bought Rose Inc. products, I can tell you that the experience for Biossance in the Miami design district was over 60% conversion. So very high conversion, very high engagement and we see the consumers that experience our store becoming solid repeat consumers. So I think our strategy is spot on what we wanted to do. But we don't see ourselves again, as we said before, with major stores and a bunch of markets and becoming big retailers. We see it being all about experiential, all about showcase stores, very limited locations, and really to drive more engagement in the brands and decrease our acquisition cost and increase our conversion rates for the consumer. So I hope that helps Steven I think that addresses the three questions you had.
Steven Mah: Yes it did. Very helpful. I appreciate it. Thank you so much.
John Melo: Thank you.
Operator: The next question comes from Sameer Joshi of H.C. Wainwright. Please go ahead.
Sameer Joshi: Yes. Thanks. Hey Jon, Han. Just following sort of following up on the previous question in terms of customer outreach, where are you more focused on are you doing any media ads in store pop-ups social media, word of mouth influencers. What is the focus or all of them are?
John Melo: Hey Sameer, good having you on the call. You know, it is all the above but as I said on the call we are now, with the amount of data we have and the amount of consumer traffic we have. We are actually getting much smarter about where to put the money, and really focused on the highest return channels. And if I think about, where's the highest return, the highest return is really, in using e-mail, using affiliate marketing, doing direct selling sessions and then focusing on what I would call social selling or social marketing, which is using micro influencers to effectively reach their audiences, and make their audiences long-term customers. And that just requires engagement with the micro influencers, bringing them on our labs, helping them understand the technology, sharing the products and hopefully they love the products and when they love the products, and they can be authentic, they are really the best converting vehicles that we have and the most efficient way to grow the business. I think Jonathan Van Ness is a great proof of that. Jonathan is probably the best social performer that I have ever seen and you could see us doing more activity, like we are doing with Jonathan across our brands. We now have a very focused playbook for how we launch a brand. We know how to drive a brand hard and fast. I mean, think about it, the Jonathan Van Ness brand is likely to do somewhere around 50 million this year, it took us four years to get there with Biossance. So that is just kind of gives you a sense of how effective we become. And even though we are not talking a lot about Rose Inc., Rose Inc. is also performing extremely well as a brand. So that is really the whole playbook approach here is go where the highest returns are, the highest returns are e-mail affiliates and then social selling, direct selling. And to do that, well it is about micro influencers, as well as some mega that have amazing metrics and are really passionate about the products.
Sameer Joshi: Got it. Thanks for that that was a good color. In terms of the two ingredients and the $250 million opportunity, is that $250 million a lifetime product, lifetime revenue estimate or is it that you may get this money in 2022 itself?
John Melo: Yes. No, our expectation is the 250 million our proceeds this year, not the long-term value of the transaction. We expect that to be significantly more than its 250 million and if you are tracking what we have done. Every year, now that we have done one of these types of transactions, the value has increased significantly. And this is probably the most valuable transaction and it really gives us a mark-to-market value of the ingredients of the molecules at over 100 million per molecule. I mean, in this particular case, we are going to generate probably 125 million, 150 million in value per molecule. And you know, we have a significant portfolio of molecules to continue doing this for the foreseeable future and this is how we expect to self fund. I didn't say it explicitly, but I just want to repeat where we are. We have no plans to do any future equity financing or financing of the company, mainly because of the robustness we have in the portfolio and the amount of demand we see today for ingredients that we have, that we can do marketing rights, just like we are doing with the two that we are actively working through right now.
Sameer Joshi: Got it. It makes sense. And just a clarification related to the previous quarter personally. I think the 39 million from DSM was expected all during the fourth quarter of 2022. But it seems around 8.8 came in this quarter EBITDA. Is that right or -.
John Melo: Yes. You did, Sameer. Here is how to think about that. Based on the demand for the ingredients that are in that portfolio, the earn-out portfolio, which is significantly greater than we expected at the beginning of the year. We now expect to generate quite a bit more than the 39 million. So what we are doing as a result is actually bringing some of that through on a quarterly basis. And then a bigger chunk, kind of whatever is left as we think about how demand ramps and how we add capacity will come in the fourth quarter. So again, you can expect ratable amount, first, second, third and then a pretty significant jump in that number as we go into the fourth quarter.
Sameer Joshi: Got it. Thanks John. Thanks for the clarification.
John Melo: Thanks Sameer.
Operator: The next question comes from Laurence Alexander from Jefferies. Please go ahead.
Laurence Alexander: Good morning. I have lost count of the number of crisis Amyris has seen in the capital markets. What do you see as the minimum cash balance you want to have on hand to sort of maintain rhythm of operations?
John Melo: Thanks Laurence and good to have you on-board. Look, we like to target no less than 100 million to maintain a cash balance long-term to feed our growth. And again, we have a lot of unlocking to do and just the amount of working capital and receivables we can manage. But 100 million is what we would like as a minimum on hand.
Laurence Alexander: And on the technology access side - thank you for highlighting the some of the brands you have or the OEMs you have partnerships with where you are selling to. Can you give any examples of where your ingredients already have significant market share, and maybe give a little bit of a sense of how long it took to get that market share from the first validation?
John Melo: Look, I think maybe a couple of examples of Vitamin E is a great one, Vitamin E with DSM. I think right now we are about 25% of the Vitamin E market produced using our technology. And you know, it took us I would say 36-months to go from start-up of supplying Vitamin E to being 25% of the Vitamin E market comes from a Farnesene derived isophytol, Lawrence, which you'll understand. Look, the other example is Squalane, where we are currently about 70% market share. Squalane took us a lot longer. I think we are now probably eight-years, eight, nine-years into Squalane to get to that market share. A faster one, it is probably vanillin, I think right now, we are probably the leading supplier of vanillin, assuming we can ship out everything we have demand for this year. We are probably the leading supplier and volume of natural vanillin in the world. And that is happened in 24-months. So it varies quite a bit and a lot of it is around, how fast the market can switch, how close our profile is to the current material. And then the economic advantage our advantage, the economics are of our supply versus the alternative. When you get all three of those right, like in vanillin or like in Vitamin E, the market shift is significant and fast. And in Vitamin E, we have had a lot of help because of the crude oil prices, right. I think I have disclosed in prior calls, we are breakeven with crude oil at $30 as $50, were advantaged. So you can imagine that $100 crude, the advantage in actually using Farnesene to make Vitamin E versus crude oil to make isophytol.
Laurence Alexander: And then just the last one is, with respect to the valuation disconnect you flagged, you flagged this on a few calls now, with respect to the consumer brands. How patient are you or what would it take for you to monetize one brand just to sort of prove the point?
John Melo: I’m probably less patient today than I was six months ago. And the question is the Board and shareholder base aligned with us? And my guess is, we are probably pretty well aligned. But we need to have those conversations. And, again, my personal position is a lot less patient today, this is getting to the point where it is pretty ridiculous and a pretty big opportunity. And obviously, you know, there is plenty of opportunity for us to execute on proving this out. So a bit of impatient is what I would describe it as right now.
Laurence Alexander: And then if I may, is there any sort of structural kind of alignment, like either a JV structure or something else with a large brands, where you could basically fold in and take advantage of the disconnect that way?
John Melo: Well, I mean, it is all possible, I think the question is going to be what is most attractive for us, based on the traction in our portfolio of the additional brands. There is an optimal point at where a brand spin makes a lot of sense. And the question is, can we do something without actually costing ourselves significant value in the brands that have the greatest traction. So really hard to say, Laurence but obviously, we are looking at each one of the possibilities and being thoughtful about it.
Laurence Alexander: Thank you very much.
John Melo: Thanks Laurence.
Operator: The next question comes from Michael Freeman from Raymond James. Please go ahead.
Michael Freeman: Hi, John. Hi, Hon, thanks so much for taking my questions. First, I would like to touch on the sort of the tightening market in precision fermentation that you are talking about. And I recognize that you are sort of right at the beginning of your journey at Barra Bonita, as it relates to production there. Can you keep up the future, and how and when this facility reaches full capacity production? Do you expect it to follow sort of in the same format, put more steel on the ground or would you begin exploring for more third-party relationships for to facilitate that fermentation?
John Melo: Michael, thanks for being on board and thanks for the question. Look I'm really not keen on third-party relationships for precision fermentation. At this time, and I think the real question is, how fast can the industry mature with precision fermentation, my outlook is somewhere in the 5 to 10-year horizon, which says we have a lot to do to enable precision fermentation in the short to medium term. And so about a Barra Bonita as an example we already have. Well, first of all, the way the site's laid out, it is like building blocks. So every utility, everything from the air compressors to the water treatment to the power generation site is modular, where we can actually keep adding compressors. Keep adding units to add tanks and enable more. And we already are bringing in, I think, four 600,000 liter tanks, which are massive as a way to expand, manufacturing some of our bigger molecules that a year ago, I wasn't so keen on. So this is all about just continuously expanding that footprint to really meet our demand in the world that is shifting faster than we had planned for. And I look at that footprint, being able to do that it is got access to plenty of Canaan utilities, which was what makes it a really interesting site for us. Going back to why not do it with somebody else, because just about every plant we have looked at, and we have looked at a lot of precision fermentation facilities. First, there aren't many great ones. And then secondly, even when you find a great one, it requires capital modification. And we have to operate with the owner as a way to ensure that our process is replicated. And that is always difficult for us to do. So rather than investing in that we would rather invest in our own. So I hope that helps Michael.
Michael Freeman: Yes, that is really helpful and as a chemical engineer I certainly appreciate that. My next question is on a lot of the attention has been on the Biossance, Pipette, JVN, Rose Inc. brands. I wonder, if you could shed some light on the Terasana brands powered by CBG and Squalane. How has the sales been going there and what are your future plans for that brand in particular?
John Melo: Look, I'm probably a creature of habit, if I don't highlight, it is probably because it is not going as well as I would like. What I was telling you is this, the CBG Squalane formulation and performance as the consumer ratings, the repeat purchase has been outstanding. The brand’s efficiency, in other words, the brand's ability to access new consumers and convert to purchase has not been good performance. In other words, it is taking us, it is taken us more investment than I would like to get the traction with the brand. And we understand why. There is a couple of pieces in our playbook that we did not follow with that brand. We don't have a great launch partner. We didn't have a great retail channel lined up. And I don't believe we got the marketing right around the positioning of the product. We basically went after Acne, it was not the best category to go after with that formulation. I can tell you, we are in the process of completely resetting that, using that formulation in our current brands and then actually partnering with somebody that I think will be significant in making that product offering, maybe not that brand, a significant offering in our portfolio. So that is really what I would say it hasn't gone the way we would like we are throwing it out. And keeping the baby, the baby is actually the formulation, which is outstanding and then we are leveraging that formulation across our current brands, and doing a reset on the brand with a partner that we think will be super interesting that we will announce in the near future.
Michael Freeman: Alright. Yep, keep the baby John. Thanks very much for indulging these questions. I will hop back into queue.
John Melo: Great. Thanks Michael.
Operator: The next question comes from Rachel Vatnsdal from JP Morgan. Please go ahead.
Rachel Vatnsdal: Hey guys, thanks for taking the question. So first off on your ingredients business, it sounds like demand is outpacing supply, there as your customers are facing some supply and sourcing constraints themselves. So can you just talk about the amount of pricing leverage that you have. In the past, you have also talked about minimum order quantities that you have in place. So do you consider doing larger, more long-term contracts with customers so that they can lock up supply?
John Melo: Hi Rachel. Thanks for being on and great questions. Look I don't think contract structures is something we are spending a lot of time on. I will tell you that pricing power is definitely something we are really focused on right now. You know, I have been hesitant because of - you know, we have had stable pricing for so long. It is at a point now, where demand is, I don't think we have a choice. And we should really take advantage of. I think there is an opportunity to reset some of our core ingredients. We are the only ones that supply them. So I think that is where to watch Rachel, but not necessarily big shifts in the structure of the contracts.
Rachel Vatnsdal: Great, that is helpful. And then last one for me is just on the DSM earn-outs. So nice to hear that that is going better than expected. It sounds like you guys could come in, above that 39 million that you had penned earlier in the year. So how should we think about modeling DSM going forward, especially into next year and then can you just talk about what is driving that upside there? Thank you.
John Melo: Yes, there is actually a couple of ingredients in our portfolio Sclareol and vanillin, as two big drivers of that earn-out that are performing better than we expected. And without getting into a lot of detail on what else in the portfolio? I can tell you just about everything in the F&F portfolio is actually doing very well right now. And really, on the back of if you really wanted a proxy to follow our performance there, just look at Firmenich and [indiscernible], right they are our main customers for those ingredients, and how well their business does and how well flavors and fragrances performs as a category drives how we perform in the ingredients supply. Again, we are fortunate that we put in that portfolio for the year now a subset of the ingredients where we thought had maximum upside that we didn't want to give up. And it is playing out that way. So I hope that helps Rachel think about, like, what drives that. And then if you go to the end-to-end market, what is driving that for the flavor and fragrance industry is on the flavor side, much more innovation in the food space that kicked on, kind of post COVID. And then secondly, a significant doubling down on the consumer side for personal care goods that are more sustainably sourced and a focus on good ingredients. So there is fundamentals driving their business, and their business is powered by our ingredients, which then comes to greater demand for us. And we have been lucky that a couple of those are the ingredients that are in our earn-out portfolio.
Rachel Vatnsdal: Great. Thank you.
Operator: Our final question comes from Graham Tanaka of Tanaka Capital Management. Please go ahead.
Graham Tanaka: Yes. Thank you guys for me to squeeze in some things in real quick. On the monetization of the molecule marketing rights, what would be the model going forward? Now that you have it looks like more attractive and larger upfront? What would be the expectation per molecule for recurring revenue for manufacturing and milestone payments? Thanks.
John Melo: Graham, just a clarification. Are you referring to specifically the molecules we are currently in the process of monetizing?
Graham Tanaka: Yes, those but also in the future, because you did allude to being able to continue to do this every year. I think set for the next few years, to monetize a couple of molecules, this would tend to make it more recurring revenue and in my mind, more valuable, thank you.
John Melo: Yes, no, thank you for that. Okay. So look, I think what we are seeing is the benefit of molecules that have greater traction, right. So I think the model for us is just to ensure that we develop, we scale, in these particular molecules, they are molecules that we have really complete control over. So if you think about a model to maximize value is keep control yourself that is what we have done. Ensure that the molecules have good market traction and number three, ensure that the molecules are such that the only way to make these molecules and support the end markets is through our technology. Whenever those three components are present, I think we could get well over 100 million per molecule, and then if you think about the revenue going forward from these molecules, both of these molecules are in very high growth markets that we expect to continue growing at 30% to 40% going forward, so it is not a one and done. It is continue to grow the revenue underneath these molecules because we continue to produce them and maximize the value based on the strength the molecules have in the end markets. I hope that helps Graham.
Graham Tanaka: Yes. So what would the expectation be for manufacturing revenues as you have retained the manufacturing rights and keep improving the product? Thanks.
John Melo: Look, I think, for these two molecules, I would tell you that the annual manufacturing would be somewhere around 30 million to 40 million growing at 30% to 40% a year.
Graham Tanaka: And that would be at an ingredients margin sort of 30%, 40% gross margin or something different?
John Melo: No, I think that is where - once we do the deal, we go to a manufacturing margin, which is more like in the 10% to 20% range.
Graham Tanaka: Okay, got it. And then just if you could give us a feeling for the value of the brands, you mentioned a couple of them. But now you are talking about JVN and Rose, Biossance as having significant value. And then I'm just wondering if you could sort of project what you think Stripes, Pipette and MenoLabs might be worth relative to their revenues and their margins? Thanks.
John Melo: Look, I would say that Stripes is not selling yet, but I would expect Stripes to perform somewhere between the Rose Inc. level and the JVN level. I kind of like think about those two as bookings and Stripes somewhere in the middle. Think about Rose Inc. as I said, during the call JVN is currently valued at somewhere around 400 million. Rose Inc. is currently valued somewhere around the 200 million to 300 million range and I would see Stripes, somewhere in the middle of that, based on again, their revenue performance, gross margin structure and channel structure. When you think about MenoLabs, MenoLabs is more of a mass brand and Pipette is more of a mass brand. So the multiples for those brands, and the margin, based on margin structure and channel structure is actually lower than the prestige markets and lower by what could be 50% to 60%. So it is a pretty significant difference in valuation. So without giving you some specific numbers I hope that helps you think about why valuations are different across different segments, it is margin and channel. And you think about margin and channel and a proxy would be simple to think of it as prestige versus mass.
Graham Tanaka: Yes. If I could fill in a couple of questions real quick. I think people are interested to know what you are talking about controlling costs, what is your SG&A and R&D per annum might tend to be in the next as we go in the second half and then per annum and next year. Is there going to be a control or of those costs? Thanks.
John Melo: Look, I don't expect our SG&A as we go into the second half, and then into next year, so second half annualized into next year, to be outside the realm of what I will call four to 450 million, I think that is the range we expect to operate in. I think we have a ton of leverage and capability to be able to operate at that level and significantly drive revenue growth. So I think we are done with putting a lot more activity in and right now it is about really using the activity we have, the people we have, the assets we have to really drive growth and we are very confident we can do that. We are doing that already and I expect to just leverage that going forward.
Graham Tanaka: Great. And the last is the three plants put together the Barra Bonita fermentation facility and the two finishing plants would do what is for the whole company in terms of operating costs, when you are fully operating which sounds like might be in the fourth quarter this year, versus, say the fourth quarter last year? Thanks.
John Melo: I don't know that. I have got that specific picture. I don't know, if you do, comparing fourth quarter last year to fourth quarter of this year. Look, I think what we said on the call, I will re-emphasize is really the margin impact, the gross margin impact is in a solid 65% on the consumer side with the current mix and then obviously a reduction in costs because of moving shipping costs up above line versus the operating expense line. And on ingredients it is getting much closer to a 40% margin on ingredients versus where we are currently at, which is probably more around the 30% level. So significant expansion of margin on ingredients, significant expansion of margin on consumer, and then a significant reduction in cost which - fourth quarter based on volume, that is probably a $15 million to $20 million impact in cost reduction in the fourth quarter just by actually having a better cost of goods and a more efficient supply chain to reduce our shipping costs.
Graham Tanaka: Great. Actually, there is actually one more I wanted to ask you real quick. Any news or change of expectations on the COVID vaccine trials and that that opportunity. Thanks.
John Melo: I think it has already been said publicly, we have been careful not to be the leads and leaking things publicly around the vaccine. But I think somebody has picked it up and it was on some social tweaks around the fact that that Community Bio has the trials approved, has recruiting either underway or complete, and is about ready to start the trials, which is a little later than I would have expected. But good news is progressing and I would hope by the next call, I could give you an update regarding some results.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to John Melo for closing remarks.
John Melo: Great, thank you, Danielle. Thank you to everyone actually for joining us today and for your continued interest and support. If we did not get to your question, please follow-up with our Investor Relations team. It was great to have more time for questions today. I think we almost went 40 minutes with Q&A. We are very excited about where our businesses, we are very focused on getting to operational efficiency, significantly reducing our cash burn based on just not needing to invest what we have been investing, knowing that what we have to invest had been planned. And now really being at a point where we are starting to really optimize and benefit from the amazing assets we built. Thank you all have a very good rest of the day.
Operator: The conference is now concluded. Thank you for attending today’s presentation. You may now disconnect.